Benjamin Poh: Good morning, ladies and gentlemen. I'm Ben Poh, Head of Investor Relations. And today, I will be moderating the call. On behalf of ASMPT Limited, welcome to our fourth quarter and full year 2025 Investor Conference Call. Thank you all for your interest and continued support. [Operator Instructions] Before we start, let me go through our disclaimer. Please note that there may be forward-looking statements about the company's business and finances during this call. Such forward-looking statements could involve known and unknown uncertainties, risks and could cause actual results, performance and events to differ materially from those expressed or implied during this conference call. For your reference, the Investor Relations presentation on our recent results is available on our website. On today's call, we have the Group Chief Executive Officer, Mr. Robin Ng and the Group Chief Financial Officer, Ms. Katie Xu. Robin will cover the group's key highlights for the fourth quarter and full year 2025 and provide outlook and guidance for the following quarter. Katie will provide details on the financial performance for the year and quarter. Now I will hand the time over to our Group Chief Executive Officer, Robin?
Cher Ng: Thank you, Ben. Good morning. Good afternoon and good evening, everyone. Thank you for joining us today for our fourth quarter and full year 2025 earnings conference call. Before we begin, and as I'm sure you know by now, I recently announced my decision to step down from my role as Group Chief Executive Officer for personal reasons and to devote more time to my family. I will remain in my role until the successor is appointed to ensure a smooth and orderly transition. I'm proud of what we have achieved as a business during my time as CEO and I'm grateful for your trust in me over the years. I'm confident that ASMPT has the right foundations and the people in place for its next phase of growth. Thank you once again for your continued support. Moving on. The group has decided to divest ASMPT NEXX, which has been classified as a discontinued operation. Therefore, please note that unless otherwise specified on today's call, we will refer to the group's continuing operations only. Now for the key highlights for 2025. We experienced strong performance in both our semi and SMT businesses, supported by AI-driven structural growth. There was an increase in customer activity translating into meaningful bookings and revenue for the group, evident in both advanced packaging and our mainstream portfolio. Group bookings grew 21.7% year-on-year driven by both SMT and semi businesses and our full year revenue increased 10% year-on-year, mainly from our flagship TCB solutions. Now let's look at TCB. TCB momentum strengthened further in 2025 with significant new orders across logic and memory, solidifying our TCB technology leadership. We established deep engagement with both logic and memory customers and saw encouraging traction in areas such as HBM and C2W ultrafine pitch applications. This continues to reinforce our position as a leading provider of advanced packaging solutions as customers move to more complex chiplet-based and high-density architectures. Turning to our SMT segment. Bookings were better than expected, supported by AI servers, China's EV ecosystem and increased requirements for data transmission for base stations. Last but not least, we also advanced several transformation initiatives from late 2025 to date. These are to enhance focus on our back-end packaging business, improve agility and optimize our portfolio as part of a longer-term strategy. These actions will place us in a stronger position to scale capabilities in the areas where customer demand is more structurally aligned with our technology strength. Overall, 2025 was a year where we executed well, deepen customer engagements and continue building the foundation for sustained growth. I will elaborate further as we move to today's presentation. Let me now provide an update on the TCB total addressable market. This time last year, when we presented this slide, we expected the TAM to reach around USD 1 billion by 2027. Since then, the landscape has evolved meaningfully. The acceleration of AI-driven investment especially in advanced logic and high-bandwidth memory has expanded the market significantly more than our earlier assumptions. Based on our latest projections, we now estimate the TCB TAM to grow from roughly USD 759 million in 2025 to USD 1.6 billion by 2028, representing a CAGR of 30%. This reflects sustained adoption of 2.5D architectures, higher HBM stacks and the industries move towards final pitch interconnect. All areas where TCB is increasingly the preferred solution. Our target market share remains at 35% to 40%. This is supported by the breadth of deep engagements across leading logic and memory customers and by the performance of HBM, C2S and C2W TCB platforms, including strong uptake of our plasma enabled ultra-fine pitch capabilities. We are well positioned to benefit from this expanded TCB TAM, and we are committed to continue investing in this exciting technology. Moving on to advanced packaging. This remains a strong growth engine for us in 2025 supported by rising complexity in both logic and memory packaging. As customers shift further towards chiplets highest at HBM and final pitch interconnects, we continue to see solid demand across our TCB platforms, in particular. Of note, with our breakthrough into comparative HBM market, we also grew TCB market share significantly, achieving record TCB revenue growth about 146% year-on-year. In 2025, our AP revenue growth of 30.2% year-on-year was driven by TCB. As a result, AP's contribution to group revenue also increased from 26% in 2024 to 30% in 2025. Now let's look at TCB more closely. In logic, our C2S solution maintains its dominant position as a process of record with a steady flow of orders from key OSAT customers in 2025. Extending into early 2026, we are pleased to share that we have secured additional orders for 9 more TCB tools from the same customer. We are well positioned for further order wins as the market shift towards larger compound lines. At the same time, our C2W ultra-fine pitch platform, enhanced with plasma AOR technology secured orders for 2 tools in February 2026 from a leading customer for C2W applications. Since the announcement, we have secured 2 more such tools, TCB tools from the same customer. As the industry transitions from mass refer technology to TCB, the group stands to benefit significantly as the preferred C2W solution provider offering plasma enabled capabilities. This engagement underscore the confidence customers place in the ability to support tighter technical specifications and next-generation packaging road maps. In memory, we deepened our engagement with several customers and continue to expand our share with shipments in Q4 2025. Our tools have demonstrated superior performance with industry-leading production yields and interconnect quality. We were also the first to secure HBM4 for 12 high orders from multiple players, and we are now leading HBM4 16 high development with our flux-based TCB tool deployed for sampling, and our fluxless AOR-TCB process under qualification. These are important milestones for our technology leadership as HBM architectures scale further. Beyond TCB, we also made progress in hybrid bonding, where we received customer buyouts and shipped more tools. Our second-generation hybrid bonding solution is highly competitive, offering high alignment precision, bonding accuracy, footprint efficiency and units per hour. In Photonics, revenue grew year-on-year, and we sustained our leading position in the 800G optical transceiver market, while continuing development work with industry partners on 1.60 transceiver solutions. Our CPO collaboration also continues to move forward with key global players. And in SMT SiP applications, demand remained robust, especially in AI-related RF and system in package application. Our next-generation chip assembly tool also gained traction among advanced logic smartphone applications. Overall, advanced packaging delivered another year of meaningful progress with broader adoption across logic, memory, photonics and SiP and it continues to be a central pillar of our long-term growth. And finally, our mainstream business. This accounted for about 70% of fiscal year '25 group revenue. In 2025, AI-related demand was also a strong momentum driver for our mainstream business. Rising requirements for AI data center power management applications, kept utilization reach elevated at leading global IDMs, benefiting semi mainstream. Meanwhile, SMT mainstream secured more orders to support increased data transmission requirements for base stations and AI server bots. In China, our mainstream business saw around 18% year-on-year revenue growth across both semi and SMT. SEMIs growth was driven by strong demand for wire and die bonder applications underpinned by robust OSAT utilization. SMT benefited from increased deployment of AI server bots and strong demand for EVs in 2025. With these highlights, let me now hand over the time to Katie, who will walk you through our group and segment financial performance.
Yifan Xu: Thank you, Robin. Good morning, good evening, everyone. Let me take you through the group financial performance. Before I start, I would like to reiterate that unless otherwise specified, the numbers I will be referring to today are for the group's continuing operations only, with adjustments made under non-HKFRS measures. This slide covers our financial results for 2025. For the full year, the group delivered revenue of USD 1.76 billion, representing an increase of 10.0% year-on-year, driven largely by TCB. Group bookings reached USD 1.86 billion, representing 21.7% year-on-year growth. Both SMT and SEMI registered high bookings during the year. The group continues to build a healthy backlog with book-to-bill of 1.05, which is our highest since 2021. In 2025, group adjusted gross margin was 38.3%. This was 172 basis points lower year-on-year, reflecting lower gross margin in both SMT and SEMI. Group operating expenditures was HKD 4.56 billion, up 3.2% year-on-year, mainly driven by strategic R&D and IT infrastructure investments of HKD 237 million as we communicated at the beginning of last year. These investments were partially offset by disciplined execution of cost control and efficiency measures. Now looking ahead for 2026 for OpEx, as Robin mentioned, we are committed to continuing the investment in our core technologies, and we expect OpEx to rise by about HKD 200 million in 2026. In 2025, both adjusted operating profit and net profit improved year-on-year due to high revenue and operating leverage. In the fourth quarter, we delivered revenue for continuing operations and discontinued operations of USD 557.1 million that surpassed the upper end of our guidance. Q4 revenue for continuing operations was USD 508.9 million, representing an increase of 12.2% Q-on-Q and 30.9% year-on-year, driven by strong growth across both SEMI and SMT. Group Q4 bookings were USD 499.7 million. The Q-on-Q increase was due to stronger TCB bookings, while the year-on-year growth was largely driven by SMT's mainstream business. Group Q4 adjusted gross margin was 35.8%, down 175 basis points Q-on-Q and 101 basis points year-on-year. This sequential decline came from both SEMI and SMT with year-on-year decline due to lower SEMI margins partially offset by higher SMT margins. Group Q4 adjusted operating profit was HKD 161.0 million, up 4.3% year-on-year due to -- up 4.3% Q-on-Q due to higher revenue and operating leverage. Group Q4 adjusted net profit was HKD 119.9 million, up 42.2% Q-on-Q and 390.7% year-on-year. The Q-on-Q increase was largely due to fees of HKD 39 million from order cancellations while the year-on-year increase was due to stronger operating profit. Adjusted earnings per share were HKD 0.30. Moving on to the Semiconductor Solutions segment for the fourth quarter of 2025. SEMI delivered Q4 revenue of USD 245.6 million, an increase of 9.4% Q-on-Q and 19.5% year-on-year. Q-on-Q and year-on-year growth was driven by AI-related applications, mainly from Photonics. SEMI Q4 bookings were USD 253.3 million, up 15.4% Q-on-Q and 2.3% year-on-year. The increases were due to TCB orders from advanced logic customers and a market share gain in high-end die bonders. SEMI book-to-bill ratio in Q4 2025 was 1.03. Q4 adjusted margin for SEMI came in at 40.3%, down 102 basis points Q-on-Q and 292 basis points year-on-year. The Q-on-Q decline was largely due to product mix and inventory provision as a result of an isolated order cancellation. Year-on-year decline was due to product mix, inventory provision mentioned above and higher factory utilization in Q4 2024 during the TCB ramp. Q4 adjusted segment profit was HKD 98.0 million, up 62.5% Q-on-Q and up significantly year-on-year. Both Q-on-Q and year-on-year improvements were mainly driven by higher volume and fees related to the order cancellations. Next, let me move to the SMT Solutions segment performance for the fourth quarter of 2025. SMT delivered strong Q4 revenue of USD 263.3 million, up 15.0% Q-on-Q and 43.8% year-on-year driven by AI servers, EVs in China and the billing of a bulk order for smartphone applications. However, contributions from automotive end market outside of China and industrial remains soft. SMT recorded Q4 bookings of USD 246.4 million, down 3.9% Q-on-Q but up 73.3% year-on-year. The Q-on-Q decline was due to seasonality, while the year-on-year increase came from the demand for AI servers and EVs in China. Q4 SMT gross margin was 31.6%, down 225 basis points Q-on-Q, but up 199 basis points year-on-year. The Q-on-Q decline reflected continued weakness in automotive and industrial end markets and the billing of bulk order mentioned above, which had a lower margin. The year-on-year increase was mainly due to higher volume. Q4 segment profit was HKD 193.1 million up 18.5% Q-on-Q and significantly year-on-year due to higher volume. This slide highlights ASMPT's revenue breakdown by end markets. Computer end market was significantly up, becoming the largest contributor to group revenue, accounting for 22%. The growth in computing was largely driven by our TCB solutions. Consumer end market was the second largest contributor at 17%. Year-on-year revenue growth came largely from the group's mainstream solutions, consistent with higher revenue from China. The communication end market contributed to 16% to group revenue, driven by photonics and high-end smartphone-related applications. The automotive end market contributed almost 16% to group revenue, supported by EV demand in China, where the group remains a leading player. Lastly, the industrial end market contributed 10% to group revenue, reflecting soft market conditions. As you can see from this slide, we're a truly global business partnering with customers across all major regions. China remained the largest market, contributing 41% of group revenues. However, Europe and Americas declined year-on-year, mainly due to soft market conditions in SMT with Europe's share of revenue down to 13% and Americas down to 11%. Looking at Asia outside China, their proportion increased collectively from 24% to 34%, largely driven by TCB revenue. The group continued to maintain low customer concentration risk with the top 5 customers representing approximately 16% of total revenue in 2025. We have an existing dividend policy of distributing about 50% of the annual profit as dividends, and we firmly believe in returning excess cash to our shareholders. For the second half of 2025 with adjusted EPS at HKD 0.68 for continuing and discontinued operations, the Board has recommended a final dividend of HKD 0.34 per share. In addition, the Board has recommended a special cash dividend of HKD 0.79 per share after taking into consideration the net cash inflow from recent strategic projects. Together with the interim dividend of HKD 0.26 per share paid in August 2025, the total dividend payment for 2025 will be HKD 1.39 per share. With that, let me now pass the time back to Robin for an update on our transformation initiatives and the next quarter's revenue guidance.
Cher Ng: Thank you, Katie. As mentioned earlier, we undertook several transformation initiatives from the late 2025 to date as part of our long-term strategy. In November 2025, we completed the divestment of our entire equity interest in AAMI in exchange for cash and new shares in Shenzhen Original Advanced Compounds Company Limited. In January this year, we announced a Strategic Options Assessment of our SMT Solutions segment. The assessment is underway, and we will update at the appropriate time when there are material developments. Lastly, today, we make public the decision to divest ASM NEXX Incorporated. These initiatives share a common objective of optimizing ASMPT's portfolio streamlining operations to enhance agility and improving margin and profitability while ensuring continued investment in infrastructure and technology development in high-growth areas. We also sharpened our focus on the back-end packaging business. In the meantime, business for all our segments continue as usual. Let me now turn to our Q1 2026 revenue guidance. The group expects Q1 2026 revenue to be in the range of USD 470 million and USD 530 million. At midpoint, this represents a decline of 1.8% Q-on-Q and 29.5% year-on-year. Notably, the group's midpoint revenue guidance for continuing operations only already exceeds current market consensus, which includes both continued and discontinuing operations. We anticipate sustained Q-on-Q revenue growth in our SEMI segment driven by TCB and high-end die bonders, although this will be partially offset by SMT seasonality. On a year-on-year basis, the higher group revenue is expected to be driven mainly by strong momentum in SMT coupled with steady growth of SEMI. For Q1 2026, group gross margin is expected to improve, led by SEMI gross margin returning to the mid-40s level. This improvement is driven by higher volumes from TCB and high-end die bonders. SMT's gross margin, however, is expected to stay at similar levels as automotive and industrial end markets remain soft. The group bookings momentum will accelerate in Q1 2026, supported by both segments. Looking further ahead, structural industry growth from AI demand is expected to drive revenue growth across both SEMI and SMT. In TCB, with our industry-leading technologies, and deep engagement across a broad AI customer base, we are well positioned to expand our TCB business in a rapidly growing market. Our SEMI and SMT mainstream businesses continue to be supported by global investment in AI infrastructure and steady demand from China, while SMT automotive and industrial end markets are expected to remain soft in the near term. This concludes our full year and fourth quarter 2025 presentation. Thank you, and we are now ready for Q&A. Let me pass back the time to Ben to facilitate.
Benjamin Poh: Thank you, Robin. Ladies and gentlemen, we will now begin the Q&A session. [Operator Instructions] So with that, may I have the first question. Okay. Gokul, please unmute yourself and raise your question.
Gokul Hariharan: Ben, Robin and Katie. Robin, first of all, thanks for your leadership over the many years, and good luck on your retirement. My first question is on TCB, the addressable market TAM expansion to $1.6 billion. Could you talk a little bit more about where is the upside mostly coming from in your estimates? Let's say we get to this $1.6 billion, what will be the mix of HBM versus logic look like in 2028? And given that you gave an estimate of $750 million addressable market for last year, what was the market share roughly for ASMPT last year? Should we assume that it was about 30% or so for TCB, just to get a starting point of your TCB journey when we think about this TAM expansion?
Yifan Xu: Gokul, this is Katie. Let me try and address the questions that you have. First, on the TCB TAM, let's just take a quick minute on the methodology. Actually, last year, that was our first time publishing the TAM at $1 billion. This year, actually, the methodology is very, very similar. So we essentially used the wafer per month that actually you guys have published in the industry, and we start that to the number of AI chips and the interconnects and then the tools needed, right? So it's the same methodology. So to your question about what's driving the expansion? Obviously, right, really, it's the starting point. It's the wafer per month that has expanded significantly for the AI industry overall. So that's the main expansion. Now, in terms of the mix of hybrid bond -- sorry, HBM and the logic, I think previous years, we've communicated that HBM is the larger portion of the TAM and it will continue to be so probably until as we go into the outer years, right, if we talk about HBM 20-high beyond, then at that point, maybe hybrid bond will be kicking in and then the logic side, especially CoW will actually become more prominent in the TAM. So then the other thing is you asked about the last year's market share, and you said about 30%, and you are quite in the ballpark for that one.
Gokul Hariharan: Got it. That's very clear. Second, on the proceeds from, I think, this rationalization of the portfolio and some strategic actions that you're taking. Good to see that happen, but could you also talk a little bit about what is the kind of end state that you are hoping for once this rationalization is being done? Are there areas that you're kind of trying to bulk up on as it pertains to the back-end packaging business? And specifically on NEXX, what is the rationale for divesting NEXX given that has a fair bit of 2.5D bumping and ECD plating kind of business, which theoretically, it feels like closer to the advanced packaging business, but just help us understand why that divestment of NEXX is also happening.
Cher Ng: Gokul, thanks for the question. I'll take that question, Gokul. So basically, I think it's really focusing really on our back-end packaging business because this is where -- we feel this is where the structural growth will be, and this is where I think our strength sort of match the industrial roadmap for packaging. So really back to focusing on back-end packaging. So first, you notice we divest our leadframe business that I just discussed one step. And now we are assessing SMT, which is more of the downstream operation. And then as to your question on NEXX, you are right. NEXX is although it's advanced packaging, but it's not exactly back-end. It's more -- this belong more to the middle end. And the technology, to be honest, is more wet technology, whereas wet technology is really more on automation and vision and so forth. So we felt that it's probably the right time to consider divesting NEXX to really focus all our attention, all our resources on the back-end side.
Gokul Hariharan: Understood. And maybe if I could squeeze in one more. I think any quick view on how the mainstream SEMI Solutions business you're expecting it to progress, Robin? What are you hearing from your customers given at least from a CapEx perspective, many of your customers seem to be moving up for the first time in this up cycle?
Cher Ng: Yes, yes. I think we're beginning to see -- maybe we talked about green shoots some quarters back, but this time around, the green shoots seems to be real from our point of view. Now because there is a tailwind behind the mainstream business, and this time around, we feel that -- we have been talking for a few quarters already, Gokul, that we feel this time around is underpinned by AI investment as well. You can imagine when the industry continue to invest more and more in terms of data center. Besides the GPUs, there are many other components inside the data -- inside the server bots, AI server bots. You have power management devices and many other components, right? So you can imagine with all the server bots going into data center and the build-out data center CapEx, there is huge massive amount of components need to be packaged using both our semi, wire bond and the normal die bond tools as well as our SMT pick-and-place tools. So this AI data center investments are really driving our mainstream, both on the semi side as well as on the SMT side.
Gokul Hariharan: Okay. Okay. That's very clear. So we should expect that mainstream SEMIs also should be growing. I think it's not been growing for maybe 3, 4 years now after 2021, but it looks like '26, we should see some growth in the non-advanced packaging piece of SEMI Solutions as well, right?
Cher Ng: Yes. As far as we can see, I think our visibility is, again, is quite normal in our business to be limited to 1 or 2 quarters, right? So I think, first half looks to be okay. Half-on-half better than -- half-on-half growth year-on-year, half year also, we think it will grow. But if you ask me on the second half, let's wait for a while to see how we develop limited visibility at this point in time for second half.
Benjamin Poh: I see a raised hand from Daisy. I will request Daisy to unmute and raise your question.
Daisy Dai: Firstly, I want to ask about the HBF opportunities because I listened to your competitor's earnings call, they are talking about high-bandwidth flash opportunities. Have you guys also seen these opportunities from ASMPT side?
Cher Ng: Yes, we do, Daisy. This is a very good question. I think this is, again, probably an exciting development. To be honest, we have not factored this into our TAM, TCB TAM, because potentially, the way we assess the technology or the packaging technology required, I think, TCB could be also be a tool to package HBF. So this is something that we look forward to. If the industry -- if the industry develop in this direction, I think we will also stand to benefit in time to come.
Daisy Dai: Okay. And also following Gokul's previous question, and you previously also mentioned that you expect the second half will also grow versus first half. So I want to ask about the order visibility for -- from ASMPT side, because I think in normal times, back-end order visibility is 3 to 6 months. And how is the order visibility now? And what is the magnitude that you are seeing that second half could grow versus first half?
Cher Ng: Correction, correction, Daisy, correction. Maybe let me make it clearer. Just want to answer Gokul's question. I'm just saying first half 2026, we have better visibility because of the momentum we are seeing in terms of advanced packaging as well as mainstream, but second half is still limited in terms of visibility. But at least this time around, we can see a little bit further, maybe slightly more than a quarter, but second half, let me correct your statement, second half, we still have limited visibility. . So when I mentioned just half-on-half, I'm sort of giving you some color. First half this year, demand probably will be better than first half last year as well as second half of last year. So I'm just comparing half-on-half and year-on-year. But second half, I repeat, we still have limited visibility at this point in time.
Benjamin Poh: And next, I request Arthur to unmute.
Yu Jang Lai: Robin, you will be missed. First, congrats on the strong results. So first question is on the backlog. You highlight that backlog almost over $800 million. Can you give us more color on the spread between the SEMI and SMT? And also, you highlight the high-end bonder. Can you share with more on the TCB's product such as panel label fan-out?
Yifan Xu: Arthur, on the backlog, just really quick. The SEMI side backlog is stronger as a large quantum than SMT.
Yu Jang Lai: Is this a significant higher, or is pretty -- is insignificant, yes?
Yifan Xu: You mean, the percentages, roughly 60-40, I guess, don't call me that exact, somewhere there.
Cher Ng: So Arthur, on your second question about high-end die bond, which I think you're referring to what we have mentioned in our announcement. Yes, I think, if we're referring to the same thing, I think, it's good news. We have penetrated into a high-end die-attach application for high-end smartphones, right? So if you look at the camera modules of high-end smartphones, there are many, many box ship components in there, which need to be put in place as well. So the customers have chosen our die-attach application to place those components. So this is a brand-new market for us. We have never been in this market. So we really look forward to having more market -- increasing the market share in this particular area. So that's for the high-end die bond I think you're referring to. Now you also have a question on panel-level fan-out. We see a lot of trending in that direction. We feel that this is also driven by AI as well, right? So panel-level fan-out for components that go into their center, becoming more and more visible. So definitely, we have a tool, basically a mass reflow tool that we can deploy for a solution like this. So we're also pretty well placed to capture this opportunity.
Yu Jang Lai: Got you. And second question is on Page 10. You highlight there is order cancellation on the SEMI side. Can you give us more color? Is it associated with the NEXX?
Yifan Xu: Yes, Arthur, so this order cancellation does not have an association with NEXX. So let me just give a little bit more color on that. The order cancellation came from a global IDM, who's focused on automotive applications and order came a few years ago and it was for our SEMI mainstream products. The customer had to cancel the order due to weak automotive industry performance. So that's why we got this cancellation, but I want to make sure that we all understand this is a very much an isolated event.
Benjamin Poh: Next, I would like to request Leping to unmute and raise the question.
Leping Huang: The first question is also about the TCB TAM. So when you derive the TCB TAM in 2028, what's the split between memory and the logic? And you also say that you're targeting 35% to 40% market share in 2028. So what's your current market share in memory and logic and what's the upside we can expect in the next few years?
Yifan Xu: Leping, maybe just to add a little bit more basically essentially the answer I provided Gokul on the split of memory and the logic. Currently, the memory -- the HBM portion in the TAM definitely is much larger than logic. But as we go out -- a few years out, this dynamic will actually shift where the logic, especially CoW should take a larger share. But we cannot share the specific split for confidentiality reasons or competitive reasons, I should say. Now in terms of the market share, as Robin has mentioned in the opening, ASMPT is very, very strong in COS and also when we are actually making all of wins on CoW. So our market presence in the logic space is very strong. On HBM, you guys probably remember a year ago, we broke into HBM market. So we have gained market share there. So that's kind of where we are in terms of market share.
Cher Ng: Maybe just to add on a little bit in terms of the competition landscape, I think in the logic space, we had a [indiscernible] for a very key supply chain for substrate application. And then recently, the good news is that we announced we won two tools for C2W application, right, for the same supply chain, and then we won two more. So I think it is a signal that we are also being recognized as a solid solution provider for the C2W space as well. Now on the memory side, I think the competition landscape is different. We have a strong incumbent in the memory space, but we have done a fantastic job in 2024. We have practically 0 share in HBM. And then in 2027 -- in 2025, we managed to penetrate in a very meaningful way, in the HBM market. Now that we are -- we have a strong foothold in the memory market, we look forward to better times ahead in terms of HBM demand allocation.
Leping Huang: Okay. The second question is about the memory super cycle. So are you seeing an acceleration of the capacity expansion from your HBM customer? And given your HBM4 of high order win, are your customers provide a longer-term rolling forecast to secure your TCB tool for the 12-high and 16-high? Or how you plan your capacity in this year for the TCB business?
Cher Ng: Yes. Definitely, definitely in terms of the HBM CapEx is really in line with investment in data center, right? So with data center investment continue to increase, you can expect HBM to continue to increase as well, not just in the number of HBM, but also in the highest stack from 12-high to 16-high to 20-high potentially. So that means there will be more and more opportunities for TCB packaging as HBM continue to stack up in terms of high. Now you asked whether about capacity allocation. To be honest, I think there are some more differentiation between 12-high and 16-high, but they are not major. Some hardware module need to be different. If we use to package 12-high between 12-high and 16-high, there are some hardware modifications, but also some software. So not -- so there's not much material differences between the 12-high TCB tool and the 16-high TCB tool.
Benjamin Poh: And next, I would like to request Simon Woo to unmute and raise question.
Simon Woo: Robin, as always, we'll miss you. So the, I think long-term question for 2028, you are expecting TCB market TAM $1.6 billion for 2028. Any rough idea of the percentage of the hybrid bonding assumption for that time or very low single digit or mid-single digit or?
Cher Ng: Sorry, Simon, because your line is breaking up. So do you mind to say that again?
Simon Woo: So my question is that the hybrid bonding portion of the 2028 TAM, $1.6 billion.
Yifan Xu: So this is the TCB TAM. So there is no hybrid bond in the TCB TAM. But I guess you're asking our assumption of the hybrid bond adoption timing. Is that what your question is?
Simon Woo: Yes, sure, yes. Yes, that can help.
Yifan Xu: Okay. In our model so far, for HBM 16-high, we assume that -- we're actually confident that the TCB will continue to serve 16-high because as we get into 20-high, it really depends on the JTEC standard, right? If the standard continues to relax, then, it will actually be an upside to this model. Otherwise, we assume that in the model itself that the 20-high will be moving on to hybrid bond.
Cher Ng: Partially.
Yifan Xu: Partially. Yes, partially.
Simon Woo: Expected TCB can be used for the 20-high, if that is okay?
Cher Ng: Yes, Simon. I think looking at how -- looking at the -- how the technology, TCB technology developed over the years and also into the future, we are confident that the TCB technology together with, of course, we need to collaborate with our customers as well. They are -- wafer technology will probably, we believe, will continue to improve. So I think a combination of both the wafer as well as TCB tools, we are hopeful and optimistic that 20-high can still use TCB. Of course, if what Katie said, if the standard can be relaxed to increase the high from 775 to beyond 775, maybe 950 or even 1050 micron, then the chance of using more TCB for 20-high and beyond will even be higher. So the situation, so we just have to wait for a little longer to see how the industry plays out in terms of the high restriction.
Simon Woo: Yes, very clear, sir. Do you believe the logic area and our PLT will require hybrid bonding as well, or maybe year later?
Cher Ng: Simon, sorry, you're breaking up. Sorry, I need to ask you to repeat it.
Simon Woo: I should use a better one. But my question is alluded area, do you see that any meaningful progress for the hybrid bonding for coast and our TCB area?
Cher Ng: So I believe your question is in the logic area whether there's no opportunity for hybrid bonding, right?
Simon Woo: Yes. Correct. Correct. Yes.
Cher Ng: Yes. Actually, to be honest, hybrid bonding has already been adopted at the chiplet level, right, for certain devices. We believe that, that has already been ongoing. It all depends it's very dynamic, right? So even, to be honest, even at the chiplet level, TCB can be used as a tool as well, especially when we look at the exciting technology that we're going to develop for TCB going into the future. The TCB technology will get closer and closer to the hybrid bonding technology. So from that perspective, we are optimistic and hopeful that at some point, TCB can also be used also at the chiplet integration level. But as I said, this industry is very dynamic. So nobody knows what's going to happen, but let's continue to monitor this space.
Simon Woo: Yes. Very clear. Sorry, the last check, 30% of your revenue is advanced packaging, any rough idea, that means anyway, near $0.5 billion to your revenue for the advanced packaging last year, so any rough idea what was the TCB portion out of the total advanced packaging revenue last year?
Cher Ng: You're talking about TCB proportion to the advanced packaging. Is that what you are saying?
Simon Woo: Yes, 2025, last year, yes.
Cher Ng: Very dominant, very dominant, major share of the AP revenue for TCB, yes.
Simon Woo: Dominant means majority portion?
Cher Ng: Yes, ballpark around it.
Yifan Xu: If you look at the TCB market, the TAM slide that we shared, and Robin mentioned, you know what the TCB market size was in 2025. And I think Gokul earlier mentioned about our market share as you do with the rough calculation, you actually will get there. If that's what you guys are trying to do?
Simon Woo: Yes, $200 million, $300 million, maybe. Sorry, one last question from some investors asking, what over the revenue appearance or erosion after your massive restructuring for the SMT or leadframe, the back-end area, a rough idea of what percentage of the revenue will be off once you complete all the restructuring process?
Yifan Xu: Maybe let me try to answer your question. So for a clarification. For AMI, we were 49% shareholding. And now after the disposal of AMI, there's actually no revenue impact year-on-year of the last few years. So there's no revenue impact at all. For the NEXX business, we just announced today to be as discontinued business or put up for sale, right? NEXX revenue is about USD 100 million, that's what you're looking for.
Benjamin Poh: Yes, I think we have time for one final question. And Donnie, we'll request you to unmute and raise your question.
Donnie Teng: Wish Robin you all the best after the retirement. My first question is regarding to your guidance. Can you break down or elaborate more on the bookings momentum in the first quarter? And particularly, TCB because I think based on your announcement in fourth quarter last year, we already have received quite some TCB orders. So I'm also wondering what kind of trend in terms of the TCB bookings into the first quarter this year? This is my first question.
Cher Ng: Thank you, Donnie. I think you probably expect my answer, we cannot be too granular because for competitive reason as well, but I think in overall, I think 2026, we were expecting TCB to continue to grow in line with the investment -- so much investment in data center, right? So that I think that's for one. Now if I drill down to the booking, I'll give you some booking color for Q1 2026. We're likely to see a strong booking in Q1 -- Q-on-Q around 20% growth Q-on-Q and even stronger around 40% year-on-year growth for Q1 booking '26 for both SMT segment as well as the SEMI segment. I think we have been talking a fair bit over the last couple of quarters as well that we see AP will continue to grow. And because of mainstream momentum gaining very strongly over the last 1 or 2 quarters and into Q1 2026 as well. So I think both advanced packaging as well as mainstream will continue to do well in Q1 2026 as far as bookings are concerned. Now however, I have a caveat just now as well, right? With the stronger booking, also let me caveat or qualify that we might see some impact on revenue conversion because we are seeing longer material lead time due to tightness in the supply chain, right? So although bookings are going to be very strong in Q1, but the conversion to revenue may take a little bit longer than usual because of supply chain tightness, okay? Yes. So I think this is some color I want to give you. And by the way, I think Q1 bookings, the way we see, it will be the highest quarterly booking in 4 years.
Donnie Teng: Understood. Can I have a follow-up on this? So for the SEMI business bookings, the strong sequential growth, can we say it's primarily driven by more like conventional packaging or from advanced packaging?
Cher Ng: I would say, mainstream will probably grow a little bit more than advanced packaging. Advanced packaging tend to be a bit lumpy. We have been saying that for a long time really don't expect AP revenue to be continuously high, because first and foremost the customers are limited, less customers than the mainstream. Second, these are high-value tools, so customers cannot continue to buy quarter-on-quarter. So -- but the demand for TCB is steady for sure, right? But don't expect this to continue to be on a quarter-on-quarter basis continue to grow. So that's on the side. But on -- but what we are seeing quite interesting is really on the mainstream side, -- so we see really a pickup in terms of mainstream for those reasons I said earlier, AI-driven data center.
Donnie Teng: Okay. Got it. And my second question is regarding to your 2025 review in terms of the market share gain, particularly in the HBM market. So -- but if you -- if I remember correctly, we actually received quite sizable orders from fourth quarter 2024 from leading HBM customers. And since then into 2025, actual the bookings despite of -- there are some repeat orders, but it seems like not as significant as what we had back in fourth quarter 2024. So I just want to clarify that our market share gain in 2025 for HBM and TCB is primarily driven by the big orders we received in fourth quarter 2024?
Yifan Xu: Just really quick. Donnie, the market share data is actually based on billing.
Donnie Teng: Yes. So the follow-up is like, when should we expect to receive a more meaningful repeat orders from the leading HBM customer? I mean -- or when should we can expect that orders can be, maybe more significant than what we had back in fourth quarter 2024?
Cher Ng: Yes. I think it all depends on how soon they rollout in volume for 16-high, right? So also that depends on their customers' rollout of the new architecture. So the timing has to be aligned with ultimately how the ultimate consumer rollout the GPU architecture. So I think as the industry moved from 12-high to 16-high, I think all equipment suppliers, including myself for TCB are waiting anxiously for that particular customer to allocate TCB demand. So at this moment, we feel that 2026 will be a year whereby, there will be new true demand for TCB for 16-high, but exact timing, unfortunately, Donnie, I cannot give you any visibility at this point in time. But it cannot be too long is we know in our opinion.
Benjamin Poh: That will be our last question for today. So I will pass the time back to Robin for his closing remarks.
Cher Ng: So thank you for all your well wishes about my retirement. Now before we end, let me capture some really key takeaway from today's discussion. First, 2025 was a year of solid execution for us. and strengthening our customer engagement across the group. So we delivered growth in both bookings and revenues with a book-to-bill ratio of 1.05 and a healthy backlog, reflecting continued momentum and trust the customer place in us. Second, AI-related demand was the engine of our overall business in 2025. Across both infrastructure and applications, AI drove significant activity in both SEMI and SMT. This reflects an enduring structural trend that we expect to persist for some time as we increasingly shift customer roadmaps and priorities. Last but not least, TCB was a standout for us in terms of momentum and in terms of technology leadership. We expanded engagement in both logic and memory, securing wins across HBM, C2S and C2W application. So with our latest TCB TAM projection, this highlights the scale of the opportunities in TCB, and we continue to target a 35% to 40% share of this market. So in short, before I close, overall, we are well positioned as we enter 2026. So thank you once again for joining us, and we look forward to updating you in the next quarter. This concludes our call. Thank you, and take care.